Operator: Thank you for standing by. My name is Carly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter Fiscal Year 2026 Earnings Call for Take-Two Interactive Software. [Operator Instructions] I would now like to turn the call over to Nicole Shevins, Senior Vice President of Investor Relations and Corporate Communications. Please go ahead.
Nicole Shevins: Good afternoon. Thank you for joining our conference call to discuss our results for the second quarter of fiscal year 2026 ended September 30, 2025. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. Before we begin, I'd like to remind everyone that statements made during this call that are not historical facts are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent annual report on Form 10-K and quarterly report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. I'd also like to note that unless otherwise stated, all numbers we will be discussing today are GAAP and all comparisons are year-over-year. Additional details regarding our actual results and outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. Our press release also contains a reconciliation of any non-GAAP financial measure to the most comparable GAAP measure. In addition, we have posted to our website a slide deck that visually presents our results and financial outlook. Our press release and filings with the SEC may be obtained from our website at take2games.com. And now I'll turn the call over to Strauss.
Strauss Zelnick: Thanks, Nicole. Good afternoon, and thank you for joining us today. We delivered fantastic second quarter results, including net bookings of $1.96 billion, which vastly exceeded our expectations and represent the best second quarter of net bookings in our company's history. We have many achievements during the period. 2K launched 3 major titles, including NBA 2K26, which set multiple records and has been delivering an unprecedented level of in-game spending; our mobile business outperformed substantially, driven by our team's unparalleled innovation in live services; and Grand Theft Auto Online continued to benefit from its highly engaged community. Due to these outstanding second quarter results and our optimism for the balance of the fiscal year, we're again raising our net bookings outlook for fiscal 2026 to $6.4 billion to $6.5 billion. Rockstar Games has announced that Grand Theft Auto VI will now be released on November 19, 2026, giving the team some additional time to finish the game with a high level of polish players expect and deserve. Rockstar has our full support, of course, and we're confident they'll deliver an unrivaled blockbuster entertainment experience. Turning to highlights from the period. Our mobile business delivered another quarter of excellent results. Peak's forever franchise, Toon Blast, grew 26% year-over-year and approximately 90% over the past 2 years, driven by new gameplay elements and meta game features, such as card collection. Match Factory!, another hit title from Peak, achieved record net bookings and grew 20% over last year. Players responded positively to innovative new features, including the Super Bowl power-up, which increased engagement and monetization within the game. Rollic hit title, Color Block Jam, continues to engage and grow its audience with new features and levels and remains the highest grossing title in the studio's history. In addition, Rollic surpassed 3.8 billion lifetime downloads and achieved a new net bookings record for the quarter. The CSR franchise achieved $1 billion in lifetime in-game spending with more than 180 million players worldwide since its launch in 2012, which we believe indicates great momentum ahead of the release of CSR 3. Zynga Poker launched on Steam with full cross-functionality, enabling players to enjoy the game freely across mobile, web browsers and PC. 2K's mobile offerings had another strong quarter with WWE SuperCard surpassing 38 million lifetime downloads. NBA 2K Mobile continued to grow its audience, NBA 2K26 Arcade Edition holding its top 5 position on the Apple Arcade charts and NBA 2K All-Star in China capturing 8 million registered users after just 6 months in market. We continue to focus on our mobile direct-to-consumer business and are achieving higher conversion driven by new offers, events and enhanced personalization. Also, as a result of recent legislative changes, our teams have rolled out new technologies that enable direct transactions and new payment mechanisms, including solutions designed to support international growth, which should help us expand meaningfully net bookings and margins via this highly accretive channel. With the record-breaking launch of NBA 2K26, 2K and Visual Concepts proved once again their ability to create phenomenal gameplay, innovate with new features and optimize live service offerings. To-date, the title has sold in over 5 million units, representing a double-digit increase over NBA 2K25 and with average selling prices reaching an all-time high, led by higher sales on premium editions. We were pleased to see daily active users and MyCAREER daily active Users grow nearly 30% and nearly 40%, respectively, which contributed to recurrent consumer spending growth of 45%. Players love many of the game's new features, including a thriving hub of competition, a more accessible layout, all new rewards and a fresh cosmetics. I'd like to congratulate 2K and Visual Concepts for once again delivering a superb basketball experience led by innovation and an unwavering commitment to excellence. 2K and Gearbox Software launched Borderlands 4, the latest offering in our beloved looter-shooter franchise. The game received high critical praise with many reviewers calling it the best Borderlands yet. The series highly active community eagerly welcomed the title. And during its opening weekend, it reached the largest concurrent player count on Steam in franchise history. Borderlands 4 also dominated YouTube with 300 million views and earned the #1 spot on Twitch during its launch, underscoring the franchise's enduring mass appeal. While we experienced some challenges with optimization and performance on PC, Gearbox has been addressing these issues and releasing updates to improve gameplay. We're confident that Borderlands 4 will achieve strong unit sales over its lifetime. We're immensely proud of Gearbox and look forward to robust post-launch content offerings that will support the game in the months ahead. 2K and Hangar 13 released Mafia: The Old Country, the first new entry in our popular organized crime franchise in nearly a decade, which earned vast praise from critics and consumers alike. The title quickly surpassed our internal expectations and affirmed our belief that consumer demand remains strong for premium, narrative-driven experiences that over-index on value. The team at Hangar 13 will continue to push the boundaries for cinematic experiences in this series and in future creative pursuits. Grand Theft Auto V continues to grow its audience. And to date, the title has sold-in more than 220 million units worldwide. Players remain deeply engaged with Grand Theft Auto Online, which added holiday themed jobs and rewards as well as new vehicles, community events and outfits. GTA+ continued to increase its membership, achieving over 20% growth year-over-year. We're pleased with the consumers' ongoing passion and engagement with the franchise, which we believe will help usher in a record-breaking launch for Grand Theft Auto VI. In closing, we're very pleased with our position as one of the largest, most diversified companies within the interactive entertainment industry, a sector that we believe will enjoy robust growth. As we embrace our core values and focus on delivering the most captivating and engaging entertainment experiences, we expect to achieve record levels of net bookings in fiscal 2027, establish a new baseline for our business and enhance our profitability. I'll now turn the call over to Karl.
Karl Slatoff: Thanks, Strauss. I'd like to thank our teams for delivering another terrific quarter, which reflects our unique ability to consistently deliver the highest quality entertainment experiences. Our teams plan to sustain this momentum over the balance of the year by releasing an array of new content and product offerings. Following the successful launches of Mafia: The Old Country, NBA 2K26 and Borderlands 4, 2K plans to release new content and updates for each game that will provide our fans with even greater opportunities to engage with these franchises. Zynga will continue to enhance its portfolio with the introduction of new features and innovation in live services while also pursuing new titles. During the fourth quarter of our fiscal year, 2K and Visual Concepts will launch WWE 2K26, the next installment in our popular wrestling franchise. Since taking over the series, Visual Concepts has immersed players in the most intense and realistic action that the squared circle can hold. And WWE 2K26 will continue this legacy. 2K will have more to share about the game shortly. Looking ahead, we believe strongly in our long-term pipeline, which includes the release of Grand Theft Auto VI on November 19, 2026, as well as the future launches of Judas, Project ETHOS, CSR 3, Top Goal, the next BioShock and many other exciting new titles from across our labels. In closing, we are thrilled with our performance for the first half of fiscal 2026. As we continue to execute our proven strategy and capitalize on emerging opportunities, we expect to achieve a period of meaningful long-term growth and shareholder returns. I'll now turn the call over to Lainie.
Lainie Goldstein: Thanks, Karl, and good afternoon, everyone. Our second quarter results were truly fantastic. We are excited to raise our annual net bookings outlook for the second consecutive quarter. Our outperformance was driven by many of our key titles, which underscores the strength of our core franchises and the power of our diverse portfolio of owned intellectual property. I'd like to thank our teams for their outstanding execution and unwavering focus on creativity, innovation and efficiency. Turning to our results. We delivered second quarter net bookings of $1.96 billion, which was significantly above our guidance range of $1.7 billion to $1.75 billion. This reflected better-than-expected performance from NBA 2K, Mafia: The Old Country and several mobile titles, including Toon Blast, Color Block Jam, Match Factory! and Empires & Puzzles, which more than offset softness in the initial launch of Borderlands 4. Recurrent consumer spending rose 20% for the period, which outperformed our guidance of 1% growth and accounted for 73% of net bookings. NBA 2K grew 45%, mobile increased mid-teens and Grand Theft Auto Online declined as expected. During the quarter, we launched Mafia: The Old Country, NBA 2K26 and Borderlands 4. GAAP net revenue increased 31% to $1.77 billion. Cost of revenue increased 27% to $793 million, and operating expenses increased 5% to $1.1 billion. On a management basis, operating expenses rose 13% year-over-year, which represented significant operating expense leverage on our strong top line growth. Operating expense dollars were above our forecast due to incremental user acquisition investments to support robust performance in our mobile portfolio and higher performance-based compensation, which was partly offset by a shift in some console marketing and IT expenses into the second half of the year. Turning to our guidance. I'll begin with our full fiscal year expectations. Our momentum is strong, and we are raising our net bookings outlook range to $6.4 billion to $6.5 billion, which represents 14% growth over fiscal 2025 at the midpoint. The increase reflects our second quarter outperformance and higher expectations for many of our core franchises for the second half of the year. The largest contributors to net bookings are expected to be NBA 2K, the Grand Theft Auto series, Toon Blast, Match Factory!, Borderlands 4, Color Block Jam, Empires & Puzzles, the Red Dead Redemption series and Words with Friends. We now expect recurrent consumer spending to grow approximately 11%, representing 77% of net bookings. This growth percentage is more than double our prior forecast of 4%, driven by NBA 2K and higher expectations for several mobile titles. Our revised recurrent consumer spending forecast assumes that NBA 2K now grows in the mid-20% range. Mobile now increases approximately 10% and Grand Theft Auto Online declines, which is unchanged from our prior forecast. We project the net bookings breakdown from our labels to be roughly 46% Zynga, 39% 2K and 15% Rockstar Games. We are raising our operating cash flow forecast to approximately $250 million, reflecting the strength in our business. We now expect to deploy approximately $180 million in capital expenditures, which is above our prior guidance due to the acquisition of an office building to support our global footprint. We are also increasing our forecasts for GAAP net revenue, which is now expected to range from $6.38 billion to $6.48 billion and cost of revenue, which is now expected to range from $2.66 billion to $2.69 billion. Our total operating expenses are expected to range from $3.98 billion to $4 billion compared to $7.45 billion last year. On a management basis, we now expect operating expense growth of approximately 9% year-over-year, which represents notable operating expense leverage on our higher net bookings outlook. Our forecast for operating expense dollars is increasing due to incremental marketing to support our mobile portfolio and higher performance-based compensation. Now moving on to our guidance for the fiscal third quarter. We project net bookings to range from $1.55 billion to $1.6 billion compared to $1.37 billion in the prior year. The largest contributors to net bookings are expected to be NBA 2K, the Grand Theft Auto series, Toon Blast, Match Factory!, the Red Dead Redemption Series, Color Block Jam, Empires & Puzzles, Borderlands 4 and Words with Friends. We project recurrent consumer spending to increase by approximately 8%, which assumes low double-digit growth in mobile, a mid-single-digit increase for NBA 2K and a decline for Grand Theft Auto Online. We expect GAAP net revenue to range from $1.57 billion to $1.62 billion. Operating expenses are planned to range from $980 million to $990 million. On a management basis, operating expenses are expected to grow by approximately 12% year-over-year, which is primarily driven by incremental user acquisition investments to support our robust performance in our mobile portfolio and higher performance-based compensation. In closing, we are thrilled with the strength in our business today, and we are extremely optimistic about the future ahead. As we execute on our strategic priorities, which include expanding our core franchises to even greater levels of commercial success, releasing groundbreaking new hits, driving efficiencies and capitalizing on new business opportunities, we believe that we will meaningfully grow our scale and our profitability. I'd like to thank you all for your support and look forward to sharing more details on our exciting pipeline in the coming months. Thank you. I'll now turn the call back to Strauss.
Strauss Zelnick: Thanks, Lainie and Karl. On behalf of our entire management team, I'd like to thank our colleagues for continuing to deliver outstanding results for Take-Two. To our shareholders, I want to express our appreciation for your continued support. We'll now take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Colin Sebastian with Baird.
Colin Sebastian: I guess, I mean, on the RCS performance, I mean, that's really, really strong. And I'm curious if there are any common denominators across NBA mobile, other titles where you're seeing that strength? Anything specific you've learned from that, that maybe you can apply to other franchises going forward? And then considering the change in release date for GTA, just curious, does that change the cadence of content updates or marketing support for the existing franchise for GTA Online over the next year as we -- as you work to maintain engagement in the meantime?
Strauss Zelnick: So on the second question first, I don't think you'll see any change and Rockstar has a history of supporting GTA Online. And of course, the title continues to perform incredibly well. I also know that GTA+ was up 20% year-over-year in the quarter, which is just great news. So -- and Grand Theft Auto V has now sold in 220 million units. It's a pretty great story. We expect that story to continue in a similar way. In terms of your first question, I think are you asking whether we think there are sort of industry tailwinds that are driving recurrent consumer spending across the board?
Colin Sebastian: Well, actually, it could be that or more specific to the way that you're developing games. Is there something within RCS within the mechanics that you're seeing is resonating with gamers in particular or maybe they're just specific to those titles?
Strauss Zelnick: So my sense is that despite what some industry observers are saying that there are modest tailwinds in the business, I think we're seeing those. And equally, look, our approach here is to seek perfection in everything we do and to try to engage and captivate our consumers. And when we do that effectively, monetization follows. And so I -- none of us is in the business of taking victory laps, even though we're very proud of the quarter. But I think the answer to your question is that our creative teams are delivering and they're delivering at the highest possible level. And so when I see commentary in the industry that's negative about what's going on, I think if you try to correlate quality with performance, you're going to find it's an exceedingly positive correlation. And actually, I think you can find causation in there as well. Give people something great, they're going to come out for it.
Operator: Your next question comes from Doug Creutz with TD Cowen.
Douglas Creutz: It appears that you're soon going to be the last publicly traded stand-alone publisher of scale standing. I wondered your view on how that affects your ability to attract talent, your ability to place games in the market. Just sort of is there anything about that strategically that affects your competitive position?
Strauss Zelnick: I think the answer is I'm not sure. We're always running scared around here. I'm fond of saying arrogance is the enemy of continued success. And I do think we're in a terrific position. We're performing much better than expected economically, and that's because we're performing better than expected creatively, and that's always our story around here. And if we can maintain that, then we have a wonderful future ahead of us. It is true that at year-end, we're really very underleveraged. It is true that in relatively short order, we expect to be a net cash company again. And it's true that we're independent and we have a publicly traded security. And I think all of those things can be advantages in the right hands. But none of that will lead us to claim success before we deliver it. And whenever we have good results, our approach around here is to take no victory lap, hence to get up the next day and try to do it again. So that's what we'll keep doing. We do think we're well positioned.
Operator: Your next question comes from Chris Schoell with UBS.
Christopher Schoell: We saw one of your peers see outperformance on mobile margins due to the recent iOS changes. Can you just walk us through how widely available alternate payment mechanisms are across your portfolio today? And did that provide any uplift to gross margins in the quarter or your expectations for the year? And maybe just along these lines, any thoughts on the recently proposed changes to Google Play and what it means for your business?
Strauss Zelnick: Look, I've been saying for years that I expected the cost of third-party distribution to decline. And as soon as we close the Zynga transaction, we launched a direct-to-consumer initiative that has been successful. We value our partnerships with retailers. We don't have any reason to believe that those will ever become extinct. At the same time, distribution costs, naturally will decline with competition and in certain instances with litigation and legislation. And you're seeing that now. So our direct-to-consumer business is doing really well. It has been rolled out almost across our entire mobile portfolio, not the entire portfolio because it doesn't necessarily fit everywhere. And the most recent litigation result definitely puts us in a stronger position. And not only will net bookings rise more rapidly than expected but margins too will rise with them. So it's all good news. We're not specifically calling out how that margin change will affect our year, except obviously, we've increased our guidance for the year.
Christopher Schoell: Got it. And if I can just fit in one more. Maybe just on the new GTA time line, anything you can share as to what the drivers were? And what gives you confidence that the state will stick?
Strauss Zelnick: Yes, the drivers are a desire to deliver as perfect an entertainment experience as we possibly can and to try to live up to consumers' extraordinary expectations and then exceed those expectations. And it's always painful when we move a date. We have done so occasionally in the past, and we've never regretted it in retrospect. I would like to point out that we have some competitors in the event where more polish was required and required slipping a date, they chose not to slip the date, and they did so at their peril.
Operator: Your next question comes from Andrew Marok with Raymond James.
Andrew Marok: Maybe one on NBA and one on Borderlands. As it relates to NBA, we saw some of the metrics that you disclosed today were not well above -- they were well above what you would normally consider for kind of a mature sports franchise. So I guess where are you getting these incremental audiences from? Are there new cohorts of players that you're expanding into? And I guess, what inning would you say that you're in, in terms of accessing the total NBA audience? And then I'll follow up with the Borderlands question.
Karl Slatoff: So in terms of the cohorts that we're seeing, obviously, returning players are a huge cohort for us. And I would say we're -- every year, we're getting a little better at bringing people back into the games. And -- but there's still a lot of opportunity to improve on that. So you asked about what -- where inning we are, we are certainly not getting 100% of our people back every single year. If we were to be able to do that, we would have substantial, substantial upside. And I'm not saying that we will be able to do that, but there is certainly a lot of room for improvement there. In terms of other players, we're having some success internationally as well, but also getting more engagement of the player base that we have. That's been a significant part of our ability to drive recurring consumer spending in NBA, which has had significant improvements year-over-year. We're doing more interesting things like bringing people in earlier for early access with premiums and just making the game tighter and listening to our audience base. And like we always say, higher the engagement, the more engagement, the monetization follows. It's not the other way around. And that's been our mantra pretty much from day 1. So I'd love to say we're in the first inning. That's probably not true. But we're certainly not even to the seventh inning stretch at this point. So it's probably somewhere in between.
Andrew Marok: Got it. Really appreciate that. And then on Borderlands, in these kind of longer-lived titles, how important is the launch period? And I guess, to the extent that the PC issues caused a little bit of a drag, how does player behavior change in one of those titles versus maybe an annual release where maybe you don't have as much time to sort of make up anything that fell short of expectations around the launch period?
Strauss Zelnick: Well, we see it -- I mean, your question implies that we see this the same way. The release was a bit softer than we would have liked for the reasons that you said. Gearbox has been addressing the PC challenges. And I think in retrospect, we feel that there are things that we could have done better and we intend to do better in the future. In the fullness of time, we think the unit sales on this title will be very solid and the economic results will be in line with our expectations.
Operator: Your next question comes from Matthew Cost with Morgan Stanley.
Matthew Cost: I wanted to ask a little bit about mobile and Zynga. Obviously, it's been a stretch here of really strong outperformance for that business versus the broader mobile gaming market. So 2-parter. One, what is your level of confidence in their ability to sustain that continued outperformance in the market versus the market? Do you see that as a function of new game launches, growing existing titles? And then connected to that, is there an opportunity to do M&A in the mobile gaming space. Something that as an independent company, Zynga I think have a lot of success with. Is that something you're considering doing more of to build on the momentum Zynga has today?
Strauss Zelnick: Yes. I mean what do I attribute their outperformance to? Great leadership, great execution. So Frank Gibeau is our -- is the CEO of Zynga, he is doing a terrific job leading the team. And our creative teams, Peak, Rollic, all of our studios, frankly, right now are doing a wonderful job, both running live services on existing titles and launching new titles. So we just have to keep doing more of that. What gives me confidence that we can. I think our approach has been narrowed and honed down at the label where we're being very careful economically. We're pursuing far fewer titles at once. We're willing to walk away from titles that don't work earlier and focus on our winners. I also think our creative teams have really hit their stride. That said, we take none of this for granted, and we know that looking backward is not going to help us except to learn from our errors and to a lesser extent, our successes. We have to look forward, and we have some great releases coming up. So we're focused on those. So we have Top Goal coming from Nordeus and other titles coming about, which I'm very optimistic. But the fact that I'm optimistic is irrelevant. What's relevant is what the consumer says. On the M&A side, we're very selective here. We're very proud of the fact that I don't think we have had an acquisition in our history that didn't work out. And that's an enviable and unusual track record for any corporation, any public company. We'd like that to continue. How do we do that? Well, make sure something is strategically aligned, of course, and don't step outside of that zone, make sure that the cultures fit or can fit so that the integrations make sense and make sure that the deal is immediately accretive, if not to GAAP earnings at least to management and cash flow. So that has been our rubric and seems to have worked. So I guess what that implies is discipline and selectivity, which has served us well. Good news is we have a really strong balance sheet, and we have been able to do acquisitions in the relatively recent past. It wasn't that long ago that we bought Gearbox.
Operator: Your next question comes from Eric Handler with ROTH Capital Partners.
Eric Handler: Strauss, you've been very vocal on AI and how it's not a positive for creative development for video games. But I'm curious if you're having any success implementing AI in other sort of noncreative parts of the video game development, be it QC, be it artwork or whatever and how you're adding to what your development?
Strauss Zelnick: Yes. To be clear, I didn't say that I didn't see it as a positive. What I said was AI is based on backward-looking data sets meeting compute, meeting LLMs. And none of that replaces forward-looking genius. That's not an opinion. That's factual. I defy anyone to controvert those facts. Of course, technology drives a lot of what we do around here. Now creativity is the lifeblood of the organization. But how do we express our creativity? We do so with computers, with technical tools we always have. So as tool sets improve, we can become more efficient, we can become more effective. And our creative people, therefore, freed up to be more creative. So AI, depending on how you define it and properly deployed, of course, is positive for creativity. And therefore, is, of course, positive for hit creation. To your question about what's the nature of the rollout, we have seen some efficiencies. I think there are plenty of areas of business where the tools that we have rolled out at the enterprise are helping us. We are not either using this as an excuse to or frankly, seeing the opportunity to reduce headcount. We are seeing this as an opportunity to take our very talented people and release them from more mundane tasks so they can do more creative and more interesting tasks, and we can work better as an organization. But if you said, can you cut your cost profile by 5% tomorrow using all things AI, the answer is no.
Operator: Your next question comes from Ed Alter with Jefferies.
Edward Alter: I appreciate the mention of the pipeline and specifically BioShock. You guys made a pretty key hire there with Rod Fergusson during the quarter. Would love to just get an update on that title and kind of what his mandate is at the studio.
Karl Slatoff: Sure. Yes, we're very excited that we brought Rod on to lead Cloud Chamber and he is the new Head of the BioShock franchise. He's obviously an incredible industry veteran. He's got history with the BioShock franchise, specifically with Infinite. But he's also been involved with Gears of War and Diablo, and it's -- we're just so grateful that he's come to work with us at Cloud Chamber. BioShock is a very important franchise for us. It's one of our big -- 2K's biggest franchises, and we're very excited about the release of the next BioShock. We've made some changes in the organization. We're shifting some things around. But right now, we feel that the game is on a great track for us to deliver something that's going to exceed consumers' expectations. So not much more to update other than that and the fact that the next BioShock is going to take the franchise to the next level, which is always our ambition with all of our franchises.
Edward Alter: And then on ad revenue, it's been up 2 quarters and now for the first time in quite a while. Can you talk about what's going right there? Is that Color Block Jam? Or is there a broader Rollic portfolio just performing across the board?
Lainie Goldstein: It's really across the entire mobile business, particularly Rollic though, they've achieved fantastic performance, and this is what's driving the higher ad revenue for the quarter.
Operator: Your next question comes from Michael Hickey with Benchmark.
Michael Hickey: Strauss, Karl, Lainie, Nicole, congrats guys on the quarter and raising your numbers for the year. Obviously, sorry to hear the delay of GTA VI, but November next year, Strauss, is going to be pretty awesome. Just curious, I guess, internally, how the Rockstar team is holding up with the delays. I'm guessing it could be challenges on motivation or culture. I don't know, but I'm guessing it's hard on them to have to deal with the delay as well. I'm sure they're very excited to get the game out. And then in terms of Polish, I mean, I think I know what that means, but just sort of curious what Rockstar defines as polish. And then how much of -- they have a huge team now. So how much of the team, Strauss, as much as you can tell us, is focused on polish versus maybe other content ideas or projects that could be part of that GTA ecosystem or otherwise?
Strauss Zelnick: Yes. Obviously, Mike, you know us well. You know me well. I can't talk about how the inner workings of the studio are reflected in current activities. So I can't -- I wouldn't answer that question. On the first point, I think the culture at Rockstar is extraordinary. And we're all pushing hard to seek perfection. And that's not just words. I mean the Metacritic scores of Rockstar releases are generally speaking, not -- I mean, with very few exceptions, have been over 95. And GTA V, as you know, has been the standard-bearer not just for our company, but for the industry through 3 console generations, and to this day is still, I would argue, the most technologically advanced title in the marketplace despite that it's more than a decade old. And that doesn't happen by accident. So it's -- Rockstar's culture is one of performance. Take-Two's culture as a whole, which is reflected in all of our labels is one of seeking excellence teamwork and kindness. And that's a recipe that works really, really well. I can't deny that at any given time, if things don't go exactly as you'd like, there's some disappointment. But we're pretty good about brushing ourselves off and picking ourselves up and playing another day. And we've always done that. We learned from things that don't go as well as we'd like, and we aim to exceed all expectations, our own and those of our consumers. And we, frankly, rarely fall short, but we don't let that divert us either because we just try harder. And I think that defines what Rockstar is doing now and how they're feeling now.
Operator: Your next question comes from Martin Yang with Oppenheimer.
Martin Yang: Can you talk about the premium SKU mix in NBA this year? How much is it higher than previous years? And then can you also talk about the impact of having more season passes embedded in the premium SKU, whether or not that's a material uplift to your RCS growth for 2K26?
Karl Slatoff: So one of the drivers -- so generally speaking, the more -- the higher the mix of the premium SKUs, obviously, the average selling price is higher. That is certainly the case this time around, and we've seen some really great reactions to our premium SKUs. And we believe, at least partly, if not in large part, was the effect of offering 7 days of early access to our players, which is longer than we did last time. And there is some RCS embedded in that as part of that package. So it would have a really significant impact. And I think that's overall helped our average selling price. So it was certainly a successful strategy that we undertook this year.
Operator: Your next question comes from Alec Brondolo with Wells Fargo.
Alec Brondolo: I actually want to go back to the first question that was asked and maybe actually ask about macro in the mobile game or in the game category in general. I think people consider this a mature category, maybe low single-digit grower. But suddenly, Take-Two RCS is up 20%. We have mobile game ad networks growing well in excess of 20%. Roblox seems to be growing bookings 50% or 60%. And so from your [ guys' ] perspective, is it possible or are you maybe starting to feel like we're entering a more positive cycle for industry growth? And to the extent that's true, perhaps you might opine on what the consumer behavior behind that is?
Strauss Zelnick: I do sense there are tailwinds as much as I would love to take credit for everything good that's going on and disclaim responsibility for anything bad going on. No, I sort of agree with you. I think it feels like there is -- the consumers are once again moving in our direction, sort of how it felt at the beginning of the pandemic, maybe not quite as much enthusiasm. And we're unaccustomed to the world feeling this way because, of course, there was a decline in mid-'22 and took a while to settle out and then there was a return to modest growth. But as you yourself said, these are pockets of growth. And these pockets are defined by quality. And so we have to still be an outlier to deliver results like these, and that's our goal.
Operator: Your final question comes from Clay Griffin with MoffettNathanson.
Clayton Griffin: I just want to circle back on mobile. Strauss, you hit all of the points in terms of the margin improvement in the near term, but also over the course of the last several fiscal years. It looks like rough math that the mobile business in general will be pretty close to where it was, call it, on a pro forma basis, call it, in '22. I just would love to ask you if maybe you could just level set in terms of all of the -- whether it's the discipline in the titles, whether it's the efficiency in the UA spend, whatever, it does seem like there's been a pretty notable expansion in margins from then to now, notwithstanding the opportunities that you called out. But wondering if you could maybe just give us a framework in terms of the overall improvement maybe in mobile margins from, call it, 2, 3 years ago to now.
Strauss Zelnick: Look, honestly, we're just executing better. There were things that we were doing upon the acquisition that we either stopped doing or we're doing a whole lot more efficiently and effectively. And one of the reasons that, that transaction came about is that we had like-minded cultures. And I think we aligned on the culture I described earlier, and we aligned on our pillars of creativity, innovation and efficiency. And we have an extraordinary leadership team that is open-minded and wants to win. And then we have amazing, creative people throughout the organization who are bound and determined to do the very best work anyone can in the space. I think that's what it comes down to. And all of that done right is reflected in things like net bookings and margins. If you think about all these calls that we've been doing for all this time, we talk about the numbers quite correctly, I think, as a result of what we do, not a driver of what we do. None of us wakes up in the morning and says, let's talk about where our stock price ought to go. We talk about where our company ought to go. And if we get that right, the stock price is going to do just fine. I think and Nicole, our Head of IR, is sitting with me that in the 18 years that this management team has been responsible for overseeing Take-Two, our stock has appreciated something close to 5,000%. And that's a result of our strategy. That is not our strategy. And what we aim to do around here is make the best entertainment on earth and bring it to everyone on earth wherever they want it, whenever they want it, however they want it. If we do that right, if we keep doing that right and if we're willing to question ourselves and always try harder and try again when we fall short, probably ought to see continued performance.
Operator: There are no further questions at this time. I'll now turn the call back over to Strauss for any closing remarks.
Strauss Zelnick: I'd just like to take a moment once again to express my gratitude for the nearly 13,000 people who devote their careers to Take-Two and all of our affiliates all over the world because they're the ones who delivered these amazing results. I want to thank the team at Rockstar who's diligently working on delivering the best entertainment experience of all time. And of course, I want to thank our shareholders for all of their support. So thank you for attending the call today. We really appreciate it.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.